Operator: Ladies and gentlemen, good day, and welcome to the GATX 2021 First Quarter Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Ms. Shari Hellerman, Director of Investor Relations. Please go ahead, ma'am.
Shari Hellerman: Thank you, David. Good morning, everyone, and thank you for joining GATX's 2021 first quarter earnings call. I'm joined today by Brian Kenney, President and CEO; and Tom Ellman, Executive Vice President and CFO. Please note that some of the information you'll hear during our discussion today will consist of forward-looking statements. Actual results or trends could differ materially from those statements or forecasts. For more information, please refer to the risk factors included in our earnings release and those discussed in GATX's Form 10-K for 2020. GATX assumes no obligation to update or revise any forward-looking statements to reflect subsequent events or circumstances. Before I provide a quick recap of our first quarter results, I like to remind everyone that our Annual Shareholders Meeting is scheduled on Friday, April 23rd at 9:00 a.m. Central Time, and will be held in a virtual only meeting format. Earlier today GATX reported 2021 first quarter net income from continuing operations of $36.5 million, or $1.02 per diluted share. This compares to 2020 first quarter net income from continuing operations of $47.2 million, or $1.33 per diluted share. Our first quarter results are consistent with our expectations coming into the year. At Rail North America, the operating environment remains competitive due to an ongoing market oversupply of rail cars. Rail North America's fleet utilization was 97.8% at quarter end and our renewal success rate was 77.7%. During the quarter, the renewal rate change of GATX's Lease Price Index was negative 18.1% with an average renewal term of 30 months. We continue to successfully place new rail cars from our committed supply agreements with a diverse customer base. We have placed our 8,950 rail cars from our 2014 Trinity Supply Agreement and over 2,300 rail cars from our 2018 Trinity Supply Agreement. Additionally, we've placed nearly 5,900 rail cars from our 2018 Greenbrier supply agreement. Virtually all supply agreement deliveries for 2021 have been placed. As we indicated in our release, we continue to look for opportunities to grow our North American asset base in order to serve our customers with high quality rail cars. Today, our commercial team has placed over 1,000 additional rail cars outside of the supply agreements to be delivered by mid-2022. We also capitalize on a healthy secondary market to optimize our fleet through rail car sales generating remarketing income of approximately $16.4 million in the first quarter. Within Rail International, GATX Rail Europe continues to see steady demand across the fleet with utilization remaining high at 98.2% at quarter end. Rail International's investment volume was over $44 million during the quarter as GATX Rail Europe and GATX Rail India continue to expand and diversify their fleets. Turning to Portfolio Management. First quarter segment profit was down year-over-year, primarily driven by the Rolls-Royce and Partners Finance affiliates, as COVID-19 continues to negatively impact global passenger air traffic. Capitalizing on challenging market conditions to acquire assets with promising growth opportunities, in January of this year, we commenced a program of direct investment in aircraft spare engines that will be managed by RRPF. Our year-to-date investment total in this program is approximately $350 million. All engines have been played on long-term leases with strong airline customers. And those are our prepared remarks. I'll hand it back to the operator, so we can open the line for Q&A.
Operator: Thank you. [Operator Instructions] And our first question comes from Allison Poliniak with Wells Fargo.
Allison Poliniak: Hi, good morning. Just going back to the LPI I know it's a mixed number, but you did note in the release that it was primarily due to the energy related car types. Is there a way to dissect that versus sort of energy versus others at this point, or is it too challenging?
Tom Ellman: Hi, Alison, this is Tom. As you know when we provide information on the LPI, we try not to get too granular because it's really trying to indicate an overall look at what's going on from a market perspective. And our guidance into the year was 5% to 15% and that remains unchanged. We always talk about not reading too much into a single quarter’s LPI since a small number of unusual transactions can always cause some volatility quarter-to-quarter. Our expectation for the remainder of the year still continues to be 5% to 15% for the full year. Of course, across the LPI market lease rates, whatever you want to talk about, the energy sector continues to weigh down rates.
Allison Poliniak: Got it. And maybe asking another way, should we just assume that it was a little bit more energy weighted in terms of the renewals this quarter, versus the balance of the year to get back up there into that 5% to 15%?
Tom Ellman: Yes, Allison I would not necessarily draw that conclusion about the specific waiting this quarter versus the remainder of the year.
Allison Poliniak: Got it. Got it. And then just in terms of general market trends and lease rates, is there any way to kind of help us understand, how far off of normal we are today relative to what you are renewing right now?
Tom Ellman: Sure. Lease rates for most car types remain well below long-term averages with that the non-energy related tank cars down about 15% to 25% versus long-term averages. Non-energy related freight cars are down a bit more than that and then the energy related rail cars continue to be down 50% or more versus long-term averages.
Allison Poliniak: Got it. Thank you. I'll pass it along.
Operator: Thank you. Our next question comes from Justin Long with Stephens.
Justin Long: Thanks. And good morning. Just to follow-up on that, that line of questioning, I know in the release, you talked about sequential improvements and lease rates, but maybe Tom, could you put some order of magnitude around that comment for both tank and freight and what you've seen here today?
Tom Ellman: Certainly. So, the market lease rates for most tank and freight car types were up very modestly again this quarter. I would say an increase of up to about 5% for most car types, whether it's tank or freight. And as you alluded to Justin, this is the third quarter in a row that we've noted, small lease rate increases. And each of the quarters it's been somewhere in that 5% range.
Justin Long: Okay. That's helpful. And I know the full year guidance didn't change and the comment was made that the first quarter results were in line with your expectations coming into the year. Last quarter you gave some fairly detailed guidance by segment, anything notable that's changed within some of those assumptions by segment, either positive or negative since January?
Tom Ellman: Just really the first quarter is proceeding pretty much as we expected. So, there's nothing that I would point to in terms of changing our viewpoint coming into the year.
Justin Long: Okay. And last one from me is on the acquisition environment. I know you had stepped up the investment dollars into spare engine business, and you alluded to that. But just thinking about the pipeline for deals, specifically in the rail car space, could you talk about what you are seeing out there? Are you seeing activity pick up? Are you seeing some larger deals come to market? Just a general update would be helpful.
Brian Kenney: Yes, Justin it’s Brian. There's never consensus individual opportunities obviously, but I think some of the larger portfolios that would be willing to sell are still trying to come to grips with the valuation of their fleet. So, I'd say that's where the state of the market is.
Justin Long: Okay, I'll leave it at that. I appreciate the time.
Operator: Thank you. Our next question comes from Steve O’Hara with Sidoti and Company.
Steve O’Hara: Hi. Good morning. Thanks for taking the question. Just curious, I mean, I know you guys have redeemed the bond in the first – in the second quarter but the cash on the balance sheet and obviously corresponding debt increased significantly. Is there other things that are being worked on? Or is that something that you’d expect to deploy? Or you do expect to deploy or maybe you can talk about how you expect to deploy it right now?
Brian Kenney: Yes. Steve, so as we’ve been talking about for a while, we think this is the kind of environment where there can be attractive investment opportunities. We talked about a couple of those in our press release, specifically the investment in the aircraft engines and then some of the agreements we reached on placing non-supply agreement cars. But we did have a big cash balance at the end of the first quarter of about $960 million, but it’s worth noting that this has already come down a bit. As you know, the capital markets have been very favourable. In February, we wanted to take advantage of the exceptionally low lease rates we were seeing. So, we went to market with the two-trench issuance. We issued $400 million of ten-year notes with a coupon of 1.9% and $300 million of 30-year notes at a coupon of 3.1%. Much of the proceeds from those issuances already have or will be used to pay off higher debt. On April 1, we redeemed $300 million of 4.85% notes that were due in June. We also provide a notice that we will redeem $150 million of 5.625% retail notes due in 2066 when they become prepayable on June 1. In addition, in early April, we prepaid nearly $135 million of outstanding bank term loans. So given our plan investment value and another $300 million of debt maturing in November, we’ll likely raise additional debt later in the year. So, in addition to the investment opportunity, it really is noteworthy some of those redemptions coming up.
Steve O’Hara: Okay. Thank you. And then just – like you’d mentioned in the press release about the non-supply agreement cars. Can you just explain that to me a little bit? That’s kind of new from what I can tell, but I don’t know if there’s something – maybe it’s something that you guys do pretty regularly.
Brian Kenney: Yes. So, there’s three different ways that we add cars to the fleet during the normal course. One is through the supply agreement, a second one is through spot business new cars where we simply go out and get quotes from builders and then award those to the builder that we get the best deal from and place those with the customer and then acquiring existing fleets – existing cars, usually with leases attached. And this environment has been good to do that second one. So, we wanted to comment on some of the investment. It’s worth noting that those are all non-energy related cars.
Steve O’Hara: Okay. Okay. And then maybe just on the – on RRPF with the direct investment. Is that what’s in the lease revenue within portfolio management now? Is that the direct investment? And then do you still kind of think – are your thoughts still the same around the portfolio management guidance that you gave last quarter for the full year given that increased investment? Or is there anything else kind of at play?
Brian Kenney: Yes, Steve. So, we noted last quarter that we expected to do more of this type of investment. So yes, the additional investment was contemplated in the guidance that we provided. And as far as the financial statements, yes, the majority of that at least revenue that you see in the portfolio management segment is related to those engines.
Steve O’Hara: Okay. All right. Thank you very much.
Operator: Thank you. [Operator Instructions] Our next question comes from Justin Bergner with G. Research.
Justin Bergner: Good morning, Brian. Good morning, Tom. First question for me is just to build on the questions about the direct engine investment. So, was that $350 million all complete as of March 31 and sort of, how should we think about your intentions and capabilities to further expand that level above the current $350 million?
Tom Ellman: Yes. So, I’ll start and then let Brian add to if he has anything. But all $350 million of that was for the first – was completed in the first quarter. And as we mentioned last quarter, our intention is to invest in the most attractive engine types with the best customers on long-term leases. So, it’s difficult to predict exactly how much more of that we’ll be able to do. But it’s certainly our intention to continue to look for that kind of business.
Brian Kenney: Yes, Justin. We’re investing in great equipment at really attractive cost. The engines are on long-term leases. You have that hook to the service component of the total care package roles. And this is the strongest airline credits in the world. And lease rates are attractive. There’s conservative residual. This is just great business for GATX. So, we’ll try to do as much as we can without relaxing those investment parameters.
Justin Bergner: Okay. This might be an unusual question. I’m not sure if you can answer it. But I mean, are these investments accretive initially? Or is the intention more that you’ll lock up a lease and then I don’t know, 5 to 10 years later the environment will have improved and there’ll be much more accretion?
Tom Ellman: Yes. So as Brian noted, these are incredibly attractive economically. But they’re also accretive from year-one from an accounting perspective.
Brian Kenney: That’s a great point. That’s a great point. We always look at whether it’s railcars engines, whatever, we’re always look at the best way to optimize the value. So good question.
Justin Bergner: Okay. And just a quick one here. No repurchases in the quarter, right?
Tom Ellman: That’s correct.
Justin Bergner: Okay. And then lastly clearly there’s a lot of activity going on with the Tier 1 rails, including this morning with Canadian Nationals overbid for Kansas City Southern, how do you view, what a transaction between either of the Canadian rails and Kansas City Southern could mean for your business and the general I guess railcar supply chain?
Brian Kenney: Yes. I can take that, Justin. From an equipment perspective, let’s start there, first on that level, if the deal is approved, the first deal, our exposure to any fleet consolidation concerns as a result of the merger are very small. I think between CP and KCS, we have less than 900 cars on lease to the two of them combined. With CN, it’s probably also less than 900 to them directly. So, it’s just not a material equipment exposure for GATX. But I think, you’re also asking about the bigger picture and one remain kind of neutral here, but any merger that has a potential to create new rail traffic and potential new car demand is obviously going to be a good thing for diversified, less source such as GATX. So, we’ll see what deal goes through, whether it goes through, and which one and we’ll have to wait to see if that actually happens, but potentially a good thing for car demand.
Justin Bergner: Okay. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from Matt Elkott with Cowen.
Matt Elkott: Good morning. Thanks for taking my question. Can you guys talk about what type of markets, what type of cars would benefit if there’s an infrastructure bill?
Brian Kenney: Yes. So, the infrastructure bill that’s been announced that, I think is $2 trillion. There is north of $600 billion that’s going to rail systems, road, bridges, and ports. But almost all that rail spending is earmarked for passenger rail. So, it’s public transit, it’s Amtrak. And that’s great, right? Appraising highways, bridges, roads, ports, that’s sorely needed, but it’s really how they pay for it that we’ll be watching. But there’s not anything really earmarked for freight rail transportation. It’s more elsewhere.
Matt Elkott: But some of the building materials, I would assume that maybe there’s some demand for Open Hoppers or even potentially conversion of the frac sand cars to cement and industrial sand. Could we expect any of that activity to happen?
Brian Kenney: Yes. So Matt, it’s, obviously it’s not the – bill is not passed, and not sure what the finished form will be. So, it’s speculative to think about, which individual car types. But certainly, if you’re building steel and aggregates and any of the feedstock’s related to those will – would certainly benefit if there’s increased infrastructure spending. So, we’ll have to see how it plays out.
Matt Elkott: That makes sense. And Tom, just one last question on industry utilization, I think the number is 77% right now as of this month. The best it’s ever been, I think is 90% at the height of the crude by rail time, which was a crazy time. Do you have a view on what full utilization is? I mean, it’s, is it 85%? Is it 90%, is 80%?
Tom Ellman: Yes. Matt, we’ve talked about this before. It’s really hard to hone in on exactly what that might be. It’s certainly lower than where it is today at the end of the quarter at about 23%. A good guess might be in the mid-teens somewhere, but honestly it is a little bit of a guess we have to we have to see it all play out.
Matt Elkott: And then just a quick reminder on the underlying assumptions of your guidance, the rail recovery has been mainly intermodal and grain and its actually down expose to. Is that what you guys assumed in when you gave guidance last quarter?
Tom Ellman: Yes. So, what we’ve been talking about and alluded to it on the first question is, we’ve seen three quarters in a row of a small improvement in spot lease rates. A lot of the industry metrics you just talked about idle car count or improving loading tip, kind of hung in there. We’re not seeing a big increase in any kind of capacity or anything like that. It looks like at least right now it’ll be slow and steady. So, that’s what we modeled in an expectation that that will continue throughout the course of the year. The uncertainties around what happens with the degree in nature of the COVID recovery is some of the reason for the range that we provided. But again, as I noted through the first quarter, things are proceeding largely as we expected.
Matt Elkott: Got it. Thanks, Tom. Thanks, Brian.
Operator: Thank you. Our next question comes from Justin Bergner with G. Research.
Justin Bergner: Good morning, and thanks for the follow-up. One topic that I don't think was touched on was the environment for scrapping cars. I saw that you scrapped about a 1,000 cars leading to income of about $5 million, although there might be some other small puts and takes in that category. So just maybe is that – maybe comment on, is that a pace that is sustainable? Are you mainly scrapping cars that are fully depreciate, are you scrapping some cars that still have more than sort of residual value on the balance sheet?
Brian Kenney: Yes. So, the process that we use when scrapping cars is consistent regardless of the market or scrap prices. When a car comes into a repair facility, we look at the expected remaining cash flows from continuing to operate that car in terms of what lease rate is it likely to earn over its remaining life. What's cost of the repair, and then compare that to the scrap proceeds. So, what naturally happens when scrap prices are higher, is that it tilts you up, makes you a little bit more likely to scrap cars, and scrap prices have been in the low 400s for most of 2021 versus the low-to-mid 200s for most of 2020. So certainly, that increase in scrap price is making it relatively more likely that we scrap a car. Having said that, it's important to note that this number can ebb and flow quarter-to-quarter simply based on what cars come into the repair facility.
Justin Bergner: Okay, understood. In terms of the income, just to understand that I guess minor line item, which is perhaps now a little bit less minor than a normal. I guess it's non-remarketing net gains. And so that $5.1 million, which probably is mostly scrappage is the gains across the 1,000 cars or so that you scrapped in the quarter. And it would be the gains relative to whatever residual book value, which I assume it includes salvage – estimate salvage value would be on the balance sheet?
Brian Kenney: That's correct. Yes. That’s – as you indicate the number is primarily scrap and that's exactly how you calculate the gain.
Justin Bergner: Okay. And then lastly, has there been any change to your view of gains on asset dispositions in North America from when you gave your outlook at the start of the year?
Brian Kenney: No, there hasn't. As you know, from following us along time, that number can vary quarter-to-quarter. So, we much more look at what the expectation is over the course of the full year and what we outlined coming into the year that it might be $35 million to $45 million higher than last year remains our expectation.
Justin Bergner: Okay. Thanks for the follow-up.
Operator: Thank you. Our next question comes from Steve Barger with KeyBanc Capital Markets.
Steve Barger: Good morning guys. Thanks. Related question on the steel, can you talk about what you’re seeing for input class inflation for steel components or anything else, and are there any issues with parts availability?
Brian Kenney: Yes. So, as indicated we buy cars both on the spot market and through our supply agreements that the majority of which is through the supply agreement. So, certainly the increased price of steel is increasing the cost of the car across the board, as far as any kind of challenges with maintaining our delivery schedule. We’re receiving delivery of cars as expected.
Steve Barger: What about parts availability in the repair shops, any issues?
Brian Kenney: We’re proceeding as expected there as well.
Steve Barger: Okay. And last one, just any broader comments on how inflation could affect the lease fleet in terms of asset value of the installed base, what that means for rates. Does the slow down your desire to buy cars on the spot market or anything else that comes to mind?
Tom Ellman: No. I mean, in general, higher inflation is good for hard asset owners like GATX it’s historically been our front.
Steve Barger: Understood. Thanks.
Operator: Our next question comes from Steve O'Hara with Sidoti & Company.
Steve O'Hara: Hi, thanks for taking the follow-up. Just looking at the renewal term I think it was 30 months in the quarter. I mean, it seems like it’s been, fairly low for a while. What’s a typical – have you think about a typical cycle in terms of how long that lasts, where you guys typically keep that term short versus kind of push it, I mean it seems like it’s been like that for a while. I mean, obviously that wouldn’t necessarily, mean it would have to tick up eventually or soon, but I’m just kind of curious, how you think about it?
Brian Kenney: Yes. So, as you point out the term is relatively short and at the short-end of what we see historically during the stronger parts of the cycle, you’ll see that number up over five years and it really has to follow first increasing utilization in the industry, which is followed by increasing lease rates. And then the last one is you start to see that that term extend a bit. So, calling the number of years that it stays relatively short is just another way of calling the length of the cycle. And as indicated, our expectation coming into the year was we’d continue to see that slow and steady improvement lease rates. That continues to be our expectation. But given how far we are from historical averages, I wouldn’t expect a big change in that term over the course of this year. We’ll see, as the recovery continues, how that eventually lengthens. 
Steve O'Hara: Okay. Thank you very much.
Operator: Thank you. At this time, we have no further questions. So, I will turn it back to our speakers for closing comments.
Shari Hellerman: I’d like to thank everyone for their participation on the call today. Please reach out to me with any follow-up questions. Thank you.
Operator: Ladies and gentlemen that concludes today’s presentation. Thank you for your participation. You may now disconnect.